Operator: Good day and thank you for standing by and welcome to the Syrah Resources Q2 Quarterly Update Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your first speaker today, Mr. Shaun Verner, Managing Director and CEO for Syrah Resources. Thank you. Please go ahead.
Shaun Verner: Good morning and thanks for dialing in today. With me on the call is Stephen Wells, our Chief Financial Officer and Vern Here, General Manager of Business Development and Investor Relations. Today, we will work through the June quarterly presentation released along with the quarterly report, covering operations, market conditions and the outlook for natural graphite, active anode material and the end-use markets. Starting on Slide 3, we are clear on why an investment in Syrah has great potential. And as we stand, we are strongly encouraged by improved electric vehicle and battery anode downstream market conditions observed in late 2020 and in the first half of 2021, along with the material and positive progress that Q2 has seen with Balama’s transition from suspension to production and market reentry and both product and project developments at Vidalia. The underlying thematic of electrification of the transport sector via lithium-ion batteries in EVs is clear. With industry transforming capital being committed and invested by both OEMs and battery makers, increasing customer demand and strongly supportive government policy developing across key regions. As we continue to reiterate Syrah’s long-term value propositions fundamentally linked to firstly, the accelerating electrification of the global transport fleet; secondly, graphite maintaining its high intensity of use in lithium-ion batteries, the primary battery technology for EVs for the foreseeable future; thirdly, Balama being the world’s largest integrated natural graphite operation; and fourth, our downstream strategy to become a large scale producer of value-added active anode material products for the battery supply chain. Electrification of the transport sector is accelerating quickly, with substantial capacity commitments and investment from auto OEMs and battery makers being made through the first half of 2021. We continue to see growing urgency from policymakers and the private sector to facilitate the transition to EVs and to secure the strategic critical battery minerals and value-added battery materials required to achieve this. Graphite as a strategic critical raw material has been confirmed by key governments as it’s expected to remain the primary anode material in lithium-ion batteries. The battery technology that our industry interactions confirmed is planned for the vast majority of expansions. Graphite remains the highest intensity of use material, by mass of any cathode or anode material with the majority of our potential customers indicating growing demand for natural graphite in future. And whilst the graphite supply chain is presently a 100% reliant on China, supply disruptions and a very strong forward demand profile, both demonstrate the significant risks posed by a lack of supply chain diversification to growing the EV market, particularly outside of China. So, as we move through the first full quarter of restart, it’s clear that Balama is the best global natural graphite resource on many parameters. With capital invested, our operations, sales and logistics infrastructure well established and ramped up again quickly, but with strong opportunity for greater production and cost efficiencies as volumes increase further. Balama’s product mix is directed to supply the growing battery market with a weighting to high-grade clients. And the Syrah brand is highly regarded by a global customer base with a reputation for consistency in grade. And while recent focus on lithium capacity constraints have seen attention on potential projects across the battery raw materials sector and there is much discussion on various long-term options for new graphite supply, the reality in this market remains clear. Balama is the current and future key to sustainable supply and natural graphite needs in the battery supply chain outside of China. We are making very strong progress towards becoming a major producer of natural graphite active anode material in the U.S., with the potential to supply both domestically and to satisfy European export markets. We believe our operation in Vidalia is the most viable and progressed alternative customers have outside of Asia for large scale, localized and ESG-verifiable natural graphite active anode material supply. This progress, which we will talk further about today and Vidalia’s vertical integration with Balama, provides a compelling strategic value proposition to governments, auto OEMs and battery manufacturers. Our market and government interactions over the past 6 months have continued to see strong focus on environmental, social and governance factors. And Slide 4 emphasizes our clear ESG credentials, which we provide significant detail on in the quarterly sustainability update that’s released alongside this report today. Syrah is very well-positioned as the sustainability of battery raw materials supply comes under increased scrutiny, given the superior environmental credentials of natural versus most synthetic graphite, particularly from a carbon emissions perspective. And secondly, the best practice ESG standards embedded at Balama and across the Syrah Group more broadly. Importantly, Balama supply, vertically integrated with Vidalia will provide a source of anode material that’s 100% ESG verifiable to U.S. and European customers. A single chain of custody in the anode market doesn’t exist currently, making it challenging for consumers to verify the ESG credentials of current supply largely concentrated out of China. We believe that Syrah provides a clear solution and a superior ESG proposition. We are committed to verifying the environmental position of our natural graphite and anode material products. And in meeting this commitment and building on our own internal analysis, we have commissioned an independent lifecycle assessment of our operations, which should be completed later this year. Moving on to Slide 5 to provide an overview of Syrah’s second quarter, our health, safety and environment performance continues to be outstanding. Our total recordable injury frequency rate at Balama was zero in the June quarter and this was achieved with the full resumption of operational activity and with rehiring continuing. Balama strip as of now remained below 1 since late 2018 and our strip rate at Vidalia was also zero in the June quarter. We have robust COVID-19 protocols in place at Balama and Vidalia and no positive COVID-19 cases have been reported at Balama since the onset of the COVID pandemic and we continue to monitor this closely given recent increases in Delta variant COVID infections in Southern Africa. On the market, EV end-user demand growth, the most important leading indicator for Syrah continued to flourish in Q2 following a very strong prior 9 months with forecast for EV sales in 2021 now approaching 5 million units. Battery capacity commitments and strategic alignment in the supply chain is accelerating to keep up with significant growth in predicted EV demand. We have been really pleased with the performance of Balama through the first full quarter of operations following the restart and we are tracking ahead of our plan and the transition back to a sustainable level of operation. During the June quarter, Balama produced 29,000 tons of natural graphite, C1 cash costs were $537 a ton at an average production rate of around 10,000 tons per month. Importantly, this cost performance during the quarter demonstrated that we are well placed to achieve our target C1 cash costs of $430 to $460 a ton as we transition to a 15,000 ton per month run-rate and continue to implement our planned improvement projects. We are continuing to drive unit cost position through increasing production volumes, a longer term change to the energy mix recovery improvement and other productivity initiatives. Our reentry into the global market is well progressed and we sold and shipped 15,000 tons of natural graphite during the quarter and practically all of our 20,000 tons product inventory position at the end of June is under contract. Seeing disruption across the global liner shipping industry and that’s currently impacting our ability to supply the volumes being demanded by our customers that we are working through solutions to the current challenges and expect improvements from this quarter onward. Our weighted average basket price for sales was $474 a ton CIF, with lower prices in the quarter driven by higher fines volumes being directed to China to reestablish our position in the battery supply chain. And again, we expect to see some rebalance in quarters ahead as sales volumes normalize. At Vidalia, we achieved a key milestone of producing on-specification active anode material from the carbonization furnace, a unique milestone for the global supply chain with natural graphite anode material produced from an ex-China integrated operation in the U.S. and we are now demonstrating our integrated production capability to progress qualification testing and commercial processes with more than 10 target customers with more advanced interaction underway with our key customer targets. We transitioned to detailed engineering and procurement and awarded a services contract to Worley for the expansion of Vidalia’s production capacity to 10,000 tons. We are advancing key Vidalia work streams across operations, customer qualification and off-take product development, expansion, engineering and procurement and funding to position for a final investment decision on the 10,000 ton anode material facility in the second half of 2021, subject to the required progress in the customer and funding streams. And I will now pass over to Steve to talk through our balance sheet position.
Stephen Wells: Thank you, Shaun and good morning everybody. Syrah ended the quarter with a strong cash position of $85 million, which includes proceeds from the issue of the Series 3 convertible note in June. As we announced, we issued a AUD28 million convertible note tranche to AustralianSuper to support the orderly ramp up of production at Balama and maintain project momentum at Vidalia. We note that this balance is higher than the $81 million we forecast at the announcement of the Series 3 convertible note, which is due to timing of various payments. There is nevertheless obviously a strong balance sheet position. Excluding convertible loan proceeds, Syrah’s cash outflow for the quarter was $13 million and included costs and increased working capital associated with the ramp up at Balama and ongoing investment in operations and the expansion project at Vidalia. We also benefited from VAT recoveries during the quarter. We do expect cash outflows in Q3 to be higher than Q2, with additional funding required for both the Balama from a working capital perspective and Vidalia from an investment perspective during the quarter. At Balama, we will continue to increase production levels, which generate greater working capital requirements, given the cost of production being incurred in advance of sale of cash receipts from that production. We intend to continue to increase production initially to a level, which is sustainable from an operating cost perspective against our weighted average price and then beyond that as supported by the market to reduce our unit costs. Clearly, in the short-term, as production increases, we incur higher variable costs and there is timing element to the receipt of cash from those higher sales. We will also experience some delays in cash receipts in Q3 due to the shipping challenges referred to earlier. However, we expect those to normalize along with production growth to better match our cash outflows and inflows. Other than the shipping issues currently being experienced, this was all expected as part of our production ramp up. At Vidalia, we have transitioned to detailed engineering and procurement and we will be spending on long lead items in Q3 to maintain our progress. Towards the end of last year and earlier this year, we were spending approximately $2 million per quarter in this area. However, with continued progress on the expansion project and customer engagement moving towards a final investment decision later in the second half, this will increase to approximately $8 million in the third quarter to ensure progress is maintained. Fourth quarter spend will be determined in conduction with progress on customer commitments and funding. Again, this was expected as part of our planning for 2021 and progression of the Vidalia facility. Noting that if we are going to continue to progress, we will need to obtain the customer and funding outcomes required for a final investment decision. We are comfortable with the liquidity position of the company and the ability to fund Balama’s ramp up under a range of market scenarios and project-related costs at Vidalia through to a final investment decision. As noted, our objective is to secure new funding for the construction costs beyond the final investment decision for Vidalia’s expansion. I will now turn to Page 6 to talk about global EV sales. Slide 6 shows our primary leading indicator which is global electric vehicle sales. Strong positive momentum in EV sales continued through Q2, with global EV sales growing 165% year-on-year in the first half of 2021 to over 2.3 million units compared to less than 1 million units in the first half of each of the preceding 3 years and growth also exhibited in the major consumer geographies. Global EV sales are now expected to reach almost 5 million units in 2021, which would represent more than double 2020 volumes, obviously, COVID impacted and marginally higher than 2019 and clearly, a strong annual growth rate over the last 5 years. The increase in EV sales continues to drive increased demand for anode material. Upstream raw material demand typically lags both EV demand and active anode material production growth. However, we are seeing Chinese active anode material production, averaging 55,000 tons per month in the second quarter and approaching 60,000 tons per month in June, well more than double that of the same quarter in the prior year. There has been significant anode capacity additions proposed in China and we also see strong anode precursor reports into South Korea from China, all very strong indicators. These signs indicate that downstream EV demand is working upstream through the supply chain and we are certainly seeing a more balanced natural graphite fines market, even with increased fines supply and the China domestic production season underway. Strengthening natural graphite marketing conditions are reflected in positive and stable pricing trends, despite Balama reentering the market and the Chinese fines production during the quarter. Contracting with the Balama product with a broad range of end-user customers at higher volumes and over increasing tenor demonstrated by our confidence in forward EV and anode material demand expectations. Ex-China natural graphite demand has remained positive in the steelmaking and industrial markets. Prices in the course lake markets are significantly higher than when Balama moderated and suspended production in late 2019, early 2020. And Shaun will talk to the support that, that will provide to Syrah’s weighted average price in a few slides as our sales mix normalizes. Demand momentum in both active anode materials and industrial markets bodes well for greater production capacity utilization over the months ahead and sustainable operations being achieved at Balama. I will now pass you back to Shaun.
Shaun Verner: Thanks, Stephen. And moving on to Slide 7 to provide a bit more detail on Balama during the quarter, following the restart of the Balama plant in March, Q2 represented the first full quarter of operation. We’re tracking ahead of restart plan and strong progress being made in the transition to sustainable operations, both from an operating and market perspective. We produced 29,000 tons of natural graphite during the quarter over a more extended campaigns than we had run in the past during the moderated production period. Plant recovery ramped up to over 80% in June 2021, exceeding our plan for the quarter and is expected to benefit from the ongoing implementation of improvement projects. Product quality for the quarter in terms of grade and product split matched strong performance reported during late 2019 with increasing control over the grade product split and recovery trade-offs. Contract mining operations recommenced at Balama in April 2021 with good equipment availability and performance being achieved. And we will continue to be disciplined in Balama’s production plan by considering market demand and leading indicators. As we mentioned earlier, our C1 cash costs were $537 a ton that average production of approximately 10,000 tons per month during the quarter. The quarter’s cash cost performance highlighted that we’re well positioned to transition to the target C1 cash cost of $430 to $460 a ton at 15,000 tons per month production rate with all restructuring elements delivering benefit during the quarter. And a reminder that the long-term target is around $330 a ton when running at full capacity. Balama’s labor contingent is now back at more than 90% of the planned workforce. And that workforce plan will be around 10% lower than when production was suspended in late 2000 – moderated in late 2019. 45% of our labor contingent from our host communities and 17% of female and Syrah’s excellent culture and engagement in Mozambique has translated into strong interest in reinstated roles with around 90% take-up of the rehire by former employees. Slide 8 shows the operational performance of Balama this quarter versus historical quarters before Balama’s production was suspended. Balama has delivered good product quality and excellent recoveries this quarter relative to previous quarters. And importantly, the slide highlights that we’re well on our way to achieving a restructured cost base that will be materially lower than what it was historically. Despite producing less this quarter, C1 cash costs were lower or in line relative to uninterrupted quarters historically. Moving to Slide 9, natural graphite sales and shipments for the quarter were 15,000 tons. And as we mentioned, practically all of the finished product inventory is also contracted. So as contracting Balama’s high-quality products to a broader range of end-use customers than we have previously with a strong focus on larger contract volumes and in many cases over longer tenure. Significant forward sales are now contracted through 2021 and beyond. The market demanded more products from Balama this quarter. However, disruption in the global container shipping market is currently impacting our shipments. And accordingly, we withheld Balama production capacity where we were not able to match shipments with underlying customer demand and needed to manage our inventory levels. The shipping market disruption is primarily related to vessel and container availability given trade flow changes. And unlike a lot of the other markets in the global liner container shipping industry, we have not experienced any significant increase in freight costs, only the disruption in availability. We’re expecting the shipping impact to normalize over time as trade flows adjust. The weighted average sales price for the quarter was, as we mentioned, $474 a ton. And during the quarter, our primary sales focus was on reestablishing fine shipments to the battery supply chain in China with fine sales accounting for approximately 90% of overall product sales. This was an intentional strategy and it did weigh down our basket price during this quarter. However, Balama’s sales mix is expected trend closer to the production mix in the future. And importantly, we saw a stable fines pricing environment through the quarter despite the resumption of our production and Chinese fines, production, seasonal production. Coarse flake prices have remained strong and stable during the quarter and are materially higher than comparable prices when Balama’s production was moderated end of 2019, that being due to strong industrial sector and steel demand. Moving on to Vidalia, Slide 11 and 12 highlight the progress we’re making with operations and our planned expansion to 10,000 tons anode material production capacity. We achieved a key milestone during Q2 at Vidalia that advances our strategy of becoming a large-scale supplier of anode material to ex-Asian markets. We produced fully integrated production with on-specification anode material from the carbonization furnace at Vidalia. Thermal treatment of the coated anode precursor was at the final stage of processing for natural graphite to produce an anode material for direct use in lithium-ion batteries from Vidalia. Our wholly owned and integrated spherical purification and furnace operation at Vidalia, which uses natural graphite from Balama is the only fully integrated and commercial scale anode material supply source outside of China and is now producing active anode material for qualification with multiple potential customers. During the quarter, we also implemented a new organizational structure at Vidalia to deliver the expansion projects, optimize processes and technical development and to enhance our operational readiness. And Duncan joined Syrah as Vice President of USA Processing operations and was previously a Global Director at Hatch, responsible for its global bauxite and alumina portfolio and has held senior operational leadership roles at Rio Tinto. All key Syrah employees at Vidalia have been retained in the new organizational structure. Product development continues to be a focus for Vidalia and we have a number of initiatives underway internally and with external partners to enhance the company’s future product road map. Our market entry plan, which has been informed by our customer interactions is focused on a base 16-micron products, and we are also looking into 12-micron products which we’re currently producing both of these products for qualification testing. Syrah has engaged with more than 10 target battery manufacturer and auto OEM customers on qualification and advanced testing programs are underway with key target customers. We’ve received positive initial technical feedback on our integrated anode material from the furnace. And target customers are progressing full self-cycle testing at Vidalia anode material in Q3 this year. Syrah’s engagement with target customers is underpinned by the technical performance of Vidalia anode material and Vidalia itself being an advanced U.S.-based supply alternative to Asia with strong ESG credentials. Obviously, natural graphite products from Balama, has already been in use in lithium-ion batteries in electric vehicles through processing by Chinese end-use customers and has been for a number of years. So Vidalia has been about demonstrating that we’ve taken Balama product ourselves and produce natural graphite active anode material from Vidalia from an integrated facility for a U.S.-based source of material. Turning to Slide 12, we are also making rapid progress on the expansion project. And during the quarter, we fully transitioned to detailed engineering and procurement planning for the expansion and have awarded Wally services contract for this phase of the project. This continues our successful technical partnership with the global Wally team for Vidalia. Engineering completed to date refined the critical path for the expansion and to mitigate risks and maintain schedule, we are proceeding with some stage procurement for selected early long-lead items. And importantly, overall, estimated capital costs for the facility remain consistent with the BFS estimate with the full contingency intact. With the assistance of Greenhill, the company is advancing processes to secure customer off-take, strategic partners and financing commitments for the construction of the 10,000 ton facility, and we will disclose more details around those commitments as they are finalized. We’re committed to advancing and concluding the various work streams at Vidalia so that we’re in a position to make the final investment decision on constructing the facility in the second half of this year, subject to customer and financing commitments. And I want to reemphasize that 10,000 tons capacity is not the end game for us at Vidalia, but rather than the next step. The BFS assessed options for a 10,000 ton facility and for 40,000 tons capacity. And in time, we aim to expand production subject to demand and customer commitments and we certainly see strong interest in created capacity given the expansion plans that potential customers have underway already. Slides 13 through 19 provide some additional detail on the progress and market around Vidalia. As shown on Slide 13, the past 6 months, the same is building out our commercial anode material operations and advancing the expansion project and more progress is expected in this half. On Slide 14, the project steps from today onwards shown are largely dependent on customer engagement and funding. Our engineering and design work provides a great base and in conjunction with our integrated production, delivering material into qualification, we’re progressing those strategic customer and financial cooperation discussions. Final investment decision for commercial production – sorry, final investment decision to commercial production is expected to take 2 years with timing to deliver anode material to the market being dependent on the final investment starting gun and around 18 months of construction. Slide 15 reemphasizes the key outcomes of the BFS released in Q4 last year and highlights the robust financial proposition for the planned expansions of the natural graphite production facility. We see the Vidalia project as commercially attractive and unique with a globally competitive cost structure that leverages our integrated production position, scale and progress to date as well as other advantages, including location, supply chain diversification and auditable ESG credentials. We continue to see that the level of work combined from Balama and Vidalia, just has not been done elsewhere outside China and Asia and is therefore being seen as a key advantage for Syrah. Moving on to Slide 18 and 19 to touch on the market in the U.S. Battery manufacturers have announced significant new projects both in auto OEM partnerships and in stand-alone production to potentially service multiple OEMs. It’s forecast that U.S. battery manufacturing capacity will more than quadruple to 253,000 gig to 253 gigawatt hours by 2025 and reached 487 gigawatt hours by 2030. 10,000 tons of anode material capacity at the daily equates to approximately only 3% of total graphite anode material were required to support forecast 2025 North American manufacturing capacity. So the timing and extent of the demand opportunity continues to improve exponentially.  Finally, on Slide 20, the company’s market reentry has been supported by constructive upstream natural graphite market conditions, with Balama being ramped up ahead of schedule and strong operational performance being demonstrated. And this, in conjunction with our robust cash position and the various work streams being advanced at Vidalia, position Syrah to become the key ex-China sustainable supplier quality natural graphite and anode material products, enabled by differentiated vertical integration and the Tier 1 resource at Balama. We are very positive about the next half and our planned objectives over the second half of 2021 are to increase Balama plant utilization and natural graphite production in line with market demand and shipping availability and in line with our forward contracting with an initial target of around 15,000 tons per month. Secondly, we are looking to secure customer and financing commitments to underpin the final investment decision for the construction of a 10,000 ton facility at Vidalia. Thirdly, to complete detailed engineering and procurement planning for the Vidalia’s expansion and seamlessly transition to the construction phase subject to that final investment decision. And finally, to maintain a liquidity position to preserve flexibility in the Balama ramp-up and advance Vidalia to the final investment decision. So overall, we see a positive period ahead for us in the second half of 2021 with a number of catalysts, and we look forward to keeping you fully informed. And with that, we will transition to take any questions.
Operator: [Operator Instructions] And our first question comes from the line of Mark Fichera of Foster Stockbroking. Please go ahead.
Mark Fichera: Hi, Shaun. Congratulation on the quarter. Just a couple of questions. Firstly, on the product mix you mentioned, obviously, you shipped more coarse material in the June quarter, and you expected that the trend to normalize in the current quarter and going forward. Would that imply sort of more of an 80-20 split in terms of fines to coarse or maybe just can you comment on that, how you see that in the current quarter and going forward?
Shaun Verner: Yes. I think in Q2, the product mix was around 86% fines,14% coarse. And we are obviously seeking to optimize that coarse flake percentage and ensure that the sales mix is reflecting that as well. So, we do see an opportunity to improve that mix in favor of coarse over the coming quarters. And now that we have reestablished deliveries into China for the fines materials, we think we can rebalance that mix according to the product mix.
Mark Fichera: Right. Okay. And obviously, you mentioned about the interruption on the shipping side. I was wondering for the current quarter, can you ship more than you achieved in the June quarter or is that sort of that June quarter shipping reflective of the constraints you are facing at the moment? And can you get above that sort of shipping rate that you achieved previously?
Shaun Verner: Yes, we are certainly aiming to, Mark. I think we have been working incredibly hard to try and secure the certainty around vessel schedule availability space and container availability and we are making some good progress on that front. And certainly, the target for Q3 is to ship more than we did in Q2, to facilitate, obviously, clearing the inventory that’s already there and facilitating further production. So, it’s definitely the absolute focus of the sales and logistics team in Dubai.
Mark Fichera: Okay. Thanks.
Operator: And our next question today comes from the line of Greg Hocking from Shaw and Partners. Please go ahead.
Greg Hocking: Hello Shaun. Thank you. I was just interested in the breakdown of the graphite production through the last quarter each month. I know there was 29,000, but I am particularly interested in the June months, but the other two as well. And also, do you mind commenting on the vanadium, which was mentioned in the slide, but not by you, just sort of give a brief rundown on what’s happening there? Thank you.
Shaun Verner: Shaun – Greg. No problem. So, I mean we don’t split the production by month in the reporting. I think it’s fair to say during the course of the quarter, the recoveries improved through each of the months of the quarter. We averaged 76% up at 80% recovery in June. We are essentially at the moment, running campaign operations through Balama subject to the inventory level. So, it’s been – we have been constrained in each quarter on that basis. And obviously, looking, as I said earlier, to have the shipping constraints and impacts relieve that and get back to continuous operations. But certainly, we have been very pleased with how the plant has come back online for the first full quarter. In terms of vanadium, we have obviously had information out there for a long period of time around scoping studies that were carried out a revision to that scoping – the initial scoping study was done in 2018. We have held the view that we need to be closer to full capacity utilization at Balama to make vanadium processing makes sense and also to have a greater degree of confidence around continuing to increase production from that sort of 50% capacity utilization target we are at the moment. What we have started to do, obviously, the market for graphite it’s a period that we are restarting, market demand coming from batteries has essentially doubled what it was at the point that we suspended production. So, that gives us a very good base for confidence that we will grow from here and be able to pick up that capacity utilization. And as a result, we have started to reengage with some potential parties that we had discussed the vanadium opportunity with before. Ultimately, if things develop according to what the scoping study envisaged. We see that there is potential to produce somewhere between 5,000 tons and 5,500 tons a year of vanadium pentoxide, two grades out of Balama and obviously, capital investment around that. And given it’s a small and concentrated market, we are starting early in engagement with potential off-takers or partners around the potential to take that project forward. So early stage, but certainly, the underlying graphite market condition improvements have put us back on track to be looking at that opportunity.
Greg Hocking: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Andrew Harrington from Petra Capital. Please ask your question.
Andrew Harrington: Good morning gents. Thanks for your time. I have a couple of questions. First of all, what’s the rough freight cost to China from the [indiscernible]? And when you say sales mix will normalize to a higher cost traction, your sort of rough production mix is about 85%. What do you expect it to go to?
Shaun Verner: Yes. Okay. Thanks for the questions, Andrew. In terms of freight, so freight rates to China had been as low as $25 a ton to $35 a ton. They have increased probably about $10 a ton. The average freight across the book at the moment is around $50 a ton. So, it’s a little higher than we were seeing probably $40 a ton, $45 a ton last time we operated, but not a significant increase to China. In terms of the product mix or the product sales mix, ultimately, it comes back to the production mix of stake and fine. So, if we can lift that that coarse flake from 15% to 20%, etcetera, then we will match that sales mix against that as soon as we can. So ultimately, just depending on how the production mix comes through.
Andrew Harrington: Okay. Alright. And what’s – if I can follow-up, what’s the sort of rough pricing you would be getting for the coarse product at today’s market or what you expected over the next 6 months to 12 months?
Shaun Verner: The only pricing commentary that we provide is the basket price. We have found historically that splitting those out and providing commentary around them is being commercially challenging for us. So, we don’t make a separate comment on what the cost versus fines prices are.
Andrew Harrington: Okay. Thank you.
Operator: And your next question today comes from the line of James Stewart from Ausbil. Please go ahead.
James Stewart: Thank you. Let’s assume you could ramp up and wrap down Balama quickly, keen to understand what sort of volume you think you could place into the market at the moment without having too much impact on pricing?
Shaun Verner: Well, obviously, we have made a decision, James, to bring the operation back online. And we have said previously that it only made sense to do that at a minimum of 15,000 tons market demand. So, that gives you a sense for what drove that decision. Nothing has changed with regard to the underlying demand that’s there that drove that decision. And as you probably gather from the commentary I made during the call, if anything, market conditions are strengthening. So, we are certainly quite comfortable with what we could put into the market at 15,000 tons and if the shipping impacts were not there at the moment. So obviously, it’s a huge focus to try and resolve those impacts.
James Stewart: So, you are suggesting that there is the potential to place more volume over and above the 15,000 tons into the market at the moment based on what you are seeing fairly comfortably, excluding the shipping issues?
Shaun Verner: Yes. I am suggesting that the decision to restart was made with 15,000 tons as a target. And the market conditions have – are at least as strong, if not stronger than when we made that call. So, we can infer that.
James Stewart: Perfect. Thank you, Shaun. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Andrew Harrington from Petra Capital.
Andrew Harrington: Okay. Agents, round two. What’s the current available capacity at Vidalia? And how much have you spent to-date with Vidalia? I am assuming roughly CapEx is $140 million, is that correct for the expansion…?
Shaun Verner: Yes, that’s right. So, the CapEx for a 10,000 ton plant about $138 million. Some portion of that is being spent through the detailed design that’s being done that we have announced previously, about $10 million that is already underway. In terms of the overall spend, the way we look at it is what we spend on the anode material development program since its inception, including Vidalia, which is over $60 million. The volumes that we can produce currently out of Vidalia are enough to demonstrate commercial scale equipment capability utilization. They are in the hundreds of tons per year. We have significantly greater milling and shaping capacity, the purification and furnace operations, we deliberately scaled at the hundreds of tons level because that’s what was required for qualification before a final investment decision.
Andrew Harrington: And as a follow-up, does the product – sales intention is go to only U.S. customers?
Shaun Verner: We have clearly outlined before that we see the opportunity to export to Europe. But when you look at the demand – the facility against the demand levels domestically in the U.S. by the time it comes online, we think that the vast majority will be sold in the U.S.
Andrew Harrington: Okay. Thank you very much.
Shaun Verner: Great. With that, I think there is probably – I can’t see any further questions. So, we might call an end to that there and thank everyone for their participation today, and we look forward to providing ongoing updates through the next quarter and look forward to some further positive development. So, thanks for the attention.
Operator: Ladies and gentlemen, that does conclude today’s conference call. We thank you all for your participation. You may now disconnect.